Operator: Good morning. My name is Sylvie and I will be your conference call facilitator today. At this time, I would like to welcome everyone to the BTB Real Estate Investment Trust 2024 Fourth Quarter and Annual Results Conference Call for which management will discuss the quarter ended December 31, 2024. All lines have been placed on mute to prevent any background noise. Should you wish to follow the presentation in greater detail, management has made a presentation available on the BTB’s website at www.btbreit.com/investors/presentations/quarterlymeetingpresentation. [Operator Instructions] Before turning the meeting over to management, please be advised that some of the statements that maybe made during this call maybe forward-looking statements in nature. Such statements involve numerous factors and assumptions and are subject to inherent risks and uncertainties, both general and specific, which give rise to the possibility that predictions, forecasts, projections and other forward-looking statements will not be achieved. Several important factors could cause BTB Real Estate Investment Trust’s actual results to differ materially from the expectations expressed or implied by such forward-looking statements. These risks, uncertainties and other factors that could influence actual results are described in BTB Real Estate Investment Trust’s management discussion and analysis and in its annual information form, which were filed on SEDAR+ and on BTB’s website at www.btbreit.com/investors/reports. I would like to remind everyone that this conference is being recorded. Thank you. I will now turn the conference over to Mr. Michel Leonard, President and Chief Executive Officer, accompanied today by Mr. Marc-Andre Lefebvre, Vice President and Chief Financial Officer; Ms. Stephanie Leonard, Senior Director of Leasing; and Mr. Charles Dorais Bédard, Senior Director of Finance. Mr. Leonard, you may begin the conference.
Michel Leonard: Thank you very much, Sylvie, and good morning, everyone. We experienced some delay on filing last night with SEDAR. Unfortunately, our financial statements were not filed on time. However, the MD&A was as well as our press release. So we do apologize for the delay in the filing with SEDAR. And I confirm that we had sent all the documentation necessary to SEDAR in due time. So if you want to follow me as a portfolio at a glance, which is Page 3 of the presentation, we own 6.1 million square feet in 75 properties and a total asset value of $1.3 billion. We focus our investment on industrial assets with strong fundamentals, and we do have a pipeline of value creation opportunities and maximization of value in the portfolio. As such, we are involved in densification activities, one of which is the delivery to Winners HomeSense of a new store for 45,000 square feet in Lévis, Quebec, where the tenant, Winners HomeSense is opening the doors of the store today. The building was delivered on time and on budget, and we’re very pleased and so is Winners. During the year, we did dispose off 2 office properties, 2 little office properties, 32 Saint Charles and 50 Saint-Charles Street, basically 2 properties located next to each other. I’m turning to Page 4. As far as the evolution of our industrial assets, as you can see from 2021, we were 25.5% invested in industrial, moving up to almost 37% today. The suburban office segment went down. We used to be in 2021 at 51.8%, down to 41.6%. And necessity-based retail, it’s basically stable from 22% to 21%. As far as our geographical diversification, 20% of our portfolio or close to 21% in Quebec City, 53% in Montreal, 2.5% in Three Rivers, 13% in Ottawa, almost 4% in Saskatoon, and almost 7% in Edmonton. As I mentioned before, if you turn to Page 5 – 6, sorry, you’ll see that the construction – there’s an image of the construction of the new store that was created for Winners HomeSense right next to the Walmart that we do own in a property called Méga Centre Rive-Sud in Lévis. So the construction was 45,000 square feet, 45,870 square feet necessity-based retail. Regarding the development activity, we do have a process where the city of Ottawa is changing the zoning for our property located at 2611 Queensview Drive in Ottawa. So if you’re looking at the image, we do have a vacant parcel of land next to an office building where the tenant – the majority tenant is WSP, and the city of Ottawa is rezoning this site as a result of the LRT station being built and in process of completion right next to Highway 17. And if you’re looking on the image, you’ll see that it’s right next to Highway 417 and next to the – what you see the gray box, which is a Leon furniture store. Our key metrics, as I mentioned, 6.1 million square feet. Our total leasing activity was almost 1 million square feet for the year 2024, the fair value of our investment properties at $1.2 billion and the occupancy rate at 92.7%. Other key events for the year in October ‘24, we did fully redeem this debenture, the Series G at full value and including interest. On January ‘25, we issued a new Series I debenture for an interest rate of 7.25% for a total amount, total proceeds of $40 million, a little bit more than $40 million, excluding the cost of issuance. On February 25, as you could see from our press release, we undertook the initiative to strengthen our capital structure by suspending the dividend distribution program. And yesterday, which was February 24, we fully redeemed the Series H debentures paid in full. With this, I’d like to turn the presentation to Stephanie in order to go into the leasing activity, the important leasing activity that was carried out throughout 2024.
Stephanie Leonard: Alright. Good morning, everyone. For those of you that are joining us on our presentation online, we’re presently on slide deck #10. So our total leasing activity for the quarter, which is the combination of our new leases and lease renewals, totaled 229,000 square feet, just rounding up here for presentation’s sake, or 959,000 square feet for the year. During the fourth quarter, we leased a total of 68,000 square feet to new tenants, bringing our committed occupancy rate to 92.7%, which is a 0.4% increase since the previous quarter. Our in-place occupancy rate at the end of the fourth quarter stood at 90.9%. The 1.8% difference between our in-place and our committed occupancy rate is mainly due to the timing of certain office and retail transactions due to the preoccupancy and construction periods of the respective clients. We’ve noted that all tenants will be recorded in place at the end of Q2 2025. In terms of our new leases that were signed during the quarter, we secured a long-term tenancy with Belden, representing roughly 17,000 square feet located in Saint Laurent in Montreal, so in Montreal Technoparc, 12,000 square feet with Canadian Tire for the Mark’s Warehouse banner, also known in Quebec as L’Equipeur located in Lévis, Quebec. As Michel mentioned, our property called Méga Centre Rive-Sud, where we did the Winners and HomeSense construction. In addition to also an expansion of one of our existing clients, Cofomo, whom is located in Lebourgneuf, Quebec, for a total transaction of about 14,000 square feet, of which 6,000 was an expansion into new premises and the delta is an early lease renewal. For the year, leases totaling about 150,000 square feet were concluded in our suburban office segment, representing roughly 80.8% of new leasing activity, demonstrating the sustained demand for our suburban office spaces. In terms of our renewal activity during the fourth quarter, 96,000 square feet of leases were renewed with clients whose leases came to maturity, bringing our renewal rate to 72.9% for the year, a 10.5% increase in the rate since the same quarter in 2023. We managed to achieve an 18.7% lease renewal spread across all business segments for the year – for the quarter or 8.3% for the year. Specifically, we recorded a 51% increase in our necessity-based retail segment, and this is due to – mainly due to an emphitudic lease, which came to maturity during the quarter and we negotiated rent that was re-established at market rate. Our Industrial segment continued to show value-creating opportunity, showing a 4.3 – sorry, 43.6% increase for the quarter, and our suburban office segment remained stable at 9.5%. The most significant lease renewals during the fourth quarter were concluded with EQIP Technologies for about 20,000 square feet in Saint Charles West Montreal, and with the government of Quebec, so the [indiscernible] in our suburban office segment in [indiscernible], representing about say, 21,000 square feet just rounding up. In addition to concluding renewals with our clients whose leases come to maturity during the current year, we actively negotiate lease renewals in anticipation of the end of our clients’ term. Therefore, a total of about 65,000 square feet of additional renewals were concluded with our clients whose leases come to maturity in 2025 and subsequent years. For the total early lease renewals concluded for the year was 335,000 square feet and some of the noteworthy transactions for the quarter were with the City of Laval for about 26,000 square feet in Laval in addition to Giatec Scientific located in Ottawa, Ontario, representing about 16,000 square feet. And this 16,000 square feet also includes a 2,000-square-foot expansion into their new premises. In all, our total lease renewal activity for the year stands at 727,000 square feet for the year. If we’re turning to Slide 11 on our slide deck presentation online, we presented the details of our occupancy rate for 2024 in respect to the previous quarters and years. As we could see, we’re on an upward trend following the announced bankruptcy at our property located at 3695 Des Laurentides. Had this bankruptcy not occurred, our occupancy rate would stand at 94.8% for the year, which is a 4-year high for us. Just a quick note on our leasing initiatives for the property in Laval. As previously discussed during previous quarterly calls, we spent months cleaning the property due to the depressed state our previous tenant left it in. The property is actively showing and shows very well right now following our team’s cleanup. We currently are experiencing demand for portions of the space, and we do believe that the leasing opportunity will be for multiple tenancies rather than one single tenant user. Of course, this does not the potential of having one single tenant user. But based on the current market and what we’re seeing, we do believe that it will be a multi-tenant – will convert the single-tenant property to a multi-tenancy property. So based on the – just a quick note as well about what’s going on in the sector of Laval right now. Based on the fourth quarter year-end reports that are available to us, Laval’s average net rent on the market is $16.63 per square foot net. However, since the beginning of Q1, there’s new inventory that has hit the market, and we do believe that this additional inventory will decrease the asking net rent to mid- to low teens. So it’s important to note that over the past years, as we all know, the industrial market has seen relatively 0 to no inventory forcing new construction where it’s available and creating upward pressure on net rents. So what we’re currently noticing in the market is a stabilized return to a regular amount of inventory, a regular vacancy rate, which will lead to normalization of net rents. And I would like to remind you that our previous tenant was actually paying 675 net at the time of bankruptcy. Therefore, we’re optimistic about the value creation within our leasing opportunities for the property. So on this note, I’d like to turn the presentation over to Marc-Andre for our financial review.
Marc-Andre Lefebvre: Thank you, Stephanie, and good morning, everyone. I will now go over the financial highlights. The financial results for the fourth quarter and the full year reflect our ability to generate organic growth through our lease-up activities through the strong performance of our operations, the sound management of our debt portfolio, and the improvement of our liquidity profile. This positive performance was partially mitigated by the bankruptcy of two tenants. For the 3 months ended December 31, 2024, rental revenue increased by 2.3% compared to the same quarter last year and by 1.1% – 1.7%, sorry, for the year 2024. The increase is due to higher lease renewal rates and higher average lease rates. Looking at NOI, the NOI decreased by 0.9% compared to the same quarter last year. This decrease is related to the bankruptcy of two tenants. First one is Energy Cardio for $0.3 million, and the second one is Nuera Air for $0.5 million. This decrease in NOI is partially offset by higher rent renewal rates and increases in rental spreads for in-place leases, and that amounts to $0.5 million. Same-property NOI decreased by 2.8% for the quarter compared to the same period last year. The decrease is explained by the 2 previously mentioned bankruptcies. For the full year 2024, same-property NOI increased by 2.6% compared to 2023 due to a higher rent renewal rate of 8.3% across all 3 segments of the portfolio. FFO adjusted per unit was $0.109 for the quarter, a decrease of $0.02 from the same quarter last year. The decrease is mainly explained by a slight decrease in NOI and an increase in the weighted average number of units outstanding of 1.7 million units, and that’s due to the unitholders’ participation in the distribution reinvestment plan. As Michel mentioned, after the end of the fourth quarter, BTB decided to suspend its distribution reinvestment plan to eliminate the related dilution and also strengthen our capital structure. We maintain our distribution to unitholders at an annualized rate of $0.30 per unit. The AFFO adjusted payout ratio was 78.7% for the full year 2024. The value of our investment properties was $1.2 billion at the end of the year. That’s an increase of $10 million compared to the same quarter in 2023. Please note, we did not make any portfolio-wide changes to our cap rates for this quarter as the weighted average cap rate for the entire portfolio stood at 6.7%. Now looking at our capital structure. We concluded the year with a total debt ratio of 57.9%. The weighted average term on our mortgage portfolio is 2.8 years. The weighted average interest on the mortgage portfolio as well was 4.35%. That’s an increase of 18 basis points compared to the same quarter in 2023. Again, as Michel mentioned, subsequent to the quarter, we increased our liquidity position through the issuance of a $40 million convertible debenture Series I, bearing a coupon of 7.25% and a term of 5 years. The net proceeds from this offering were used to repay the outstanding convertible debenture Series H for almost $20 million that was done yesterday. And the balance of the net proceeds were used to repay a portion of the outstanding amount on our credit facility. This recent issuance extended the weighted average term to 2.9 years. Finally, at the end of the year, we held $2.5 million in cash and $15.2 million is available under our credit facilities for a total liquidity of almost $18 million. Note that this amount excludes any accordion feature under our credit facility. This completes our presentation and we will now open the call to questions. Operator, can we please have the first question on the line.
Operator: [Operator Instructions] And first question will be from Matt Kornack of National Bank Financial. Please go ahead.
Matt Kornack: Good morning guys. Just quickly on the retail lease, I think you mentioned it was an instituted lease. Does that mean you own the land, but the box you don’t own? And can you just give us a sense as to exact mechanics on the increase?
Michel Leonard: I will answer the question. It’s part of [indiscernible] West that Matt, that you visited a few years ago, there is a parcel of land that’s subject to an intuitive [ph] lease. So, we own the land, but we don’t own the building. And so the intuitive rent amount was established, I believe, 20 years ago, so it was quite low. And the tenant, the intuitive tenant exercised its option to renew the intuitive lease for 10 years. And so we had the possibility of doing a reset. So, we took the advice of JLL and their evaluation department, and they believe that the land value had increased at least threefold, and hence, we increased the rent threefold.
Matt Kornack: That makes sense. And then maybe on the broader and you did well on an industrial lease, it seems like, or a few industrial leases this quarter as well. But could you give us a sense of the trajectory for in-place occupancy? I appreciate that there are some balls in there with regards to leasing your industrial asset in Laval, and it sounds like that may be in pieces. But just kind of your thoughts as to how in-place occupancy trends, understanding that we are in a pretty volatile macroeconomic environment at this point.
Michel Leonard: Well, we have a few industrial leases that are coming to maturity this year. And so we have three leases out west that come to maturity, and we have this one that you basically put your finger on. And I will just do a brief presentation, and I will let Stephanie finish in the sense that I think that it’s when we look at demand in Laval per se, we see that there is a reduction in demand as far as large spaces are concerned. And this building that we have is 133,000 square feet. So, as a result, we are very open to the idea of splitting the space. And this building was built in phases anyway as we have discovered in time. So, as a result, we know that we could split the building. The building is according to zoning, we could have a multi-tenancy within the building. And the zoning is pretty open to a lot of different uses that generally are not available to industrial zoning. And so as a result, we believe that the right strategy is to go forward and basically – eventually subdivide the building based on demand and based on what we will be able to achieve as far as leasing it. Out west, we do know that we have a tenancy that are not renewing. And as a result, we have put the properties on the market, but these are leases that come to maturity towards the end of the year. Stephanie, would you like to complete?
Stephanie Leonard: Yes. I think, Michel, what you said is pretty complete. Matt, I just wanted to validate in terms of your questions in terms of projected occupancy rate. Was it specific to the industrial segment or just the occupancy rate for the REIT in general?
Matt Kornack: Yes. No, broadly speaking, I mean I think you are at 90.9% this quarter, Q4. Just should we expect some of the leasing, a, to take place this year, so you would see kind of gravitation higher, but also what is the time horizon for actually getting kind of cash out of those leases as well? Presumably, there is some fixturing or other period on the lease-up?
Stephanie Leonard: Yes, exactly. So, effectively, we are at 90.9 right now. We are going to be up to 92.7 as of – at the end of Q2 2025. We are expecting cash as well from the tenancies that are creating this delta as of Q2. So, we should be back up if all remains equal, we should be back up to 92.7 committed in place as of at the end of Q2, hopefully, higher than 92.7. I can’t make any more forward-looking statements. And in terms of Winners, the lease for Winners, I know we have been dragging I don’t want to say dragging that out for the past year. However, today, as Michel mentioned, we didn’t plan it that they were opening on the day of our call. However, they are opening today, and we are receiving rent as of today. So, that is effectively in pace, and that’s a big chunk of the leasing initiatives for the year. So, we are receiving rents from that tenant as well. In terms of – I think Michel mentioned to you the couple of tenants that are out west that have elected not to renew their lease. And we have been marketing, actually, we have known for quite some time. So, we have been effectively marketing the spaces. What we do know, what we are noticing in industrial, it’s not like office leasing or retail leasing in the sense. Industrial leases, they are usually in today’s landscape, it’s between three months to six months before the end of the term of a lease that the tenants are going to elect to either renew or that a new tenant is going to be interested in touring the space and negotiating a new lease for their brand-new space. So, whether it’s office and retail, sometimes we can work about a year in advance or with a new tenant perhaps in industrial, but the landscape is getting a little bit shortened in that sense. So, we should hopefully be able to report some good news in, I would say, more towards Q3 since the leases are coming to maturity in Q4 for our leases out west.
Matt Kornack: Perfect. I appreciate that additional color. And maybe lastly, Michel, just in terms of capital allocation at this point, congrats on getting the converts offering done. That helps from a liquidity standpoint. But what are you thinking from a buying and selling assets perspective? What type of assets, what markets, and are you going to be a net acquirer or disposer of assets in 2025?
Michel Leonard: Well, we do have our suburban office properties on the market right now under due diligence. So, obviously if the buyers come through, then these properties are going to be sold, and we are going to have to take a good look at our allocation of capital. When we are looking at industrial, there is an overhang right now in the industrial landscape as a result of Trump repatriating all the production towards the United States. And that’s basically causing for us a certain reflection or a pause as far as the investment within, let’s say, acquiring a property because then we are going to have to carefully look at the use that the tenant is making of the property that we would be acquiring. And would it be subject to tariffs, would it be subject to repatriation and so on, so one thing that I assure you and everybody on the call is that we are not going to invest blindly our proceeds from dispositions into the industrial landscape as a result of what’s going on. So, we are going to be very cautious as far as our investment program this year until we have a better sight on what Mr. Trump wants to do with the notion of tariffs.
Matt Kornack: Perfect. Thanks. We are all waiting for that clarity. I am not sure we are going to get it, but here is the hoping.
Michel Leonard: Well, you are American, so you could have a special audience with Mr. Trump.
Matt Kornack: I am not sure he will listen to me, but maybe I will try. Thanks Michel and team.
Michel Leonard: Thank you.
Operator: [Operator Instructions] And the next question will be from Sumayya Syed at CIBC. Please go ahead.
Sumayya Syed: Yes. Good morning.
Michel Leonard: Good morning.
Sumayya Syed: I wanted to see what is your outlook for same-property NOI growth this year, and would it be similar to the mid-2% range you achieved in 2024?
Michel Leonard: Marc-Andre?
Marc-Andre Lefebvre: Yes. So, yes, the SP NOI for 2025, we are estimating ranging from 2% to 4%.
Sumayya Syed: Great. And then just on the leasing side, for this year, looking at the suburban office maturities, they have an in-place rent of around $20, and that’s above where the rest of the portfolio is. So, just wondering what are your expectations for office rent spreads for the 2025 maturities?
Stephanie Leonard: Yes. Hi Sumayya. So, in terms of our office rent spreads, what we are noticing in the market right now is that tenants don’t want to do construction by themselves as it was in the past, tenants were eager to take spaces on base building on a base building basis. Now they are turning towards the landlord to either furnish the full construction through a TI or an allocation package. So, what we are expecting is that we are going to be able to maintain those base rents in terms of the portfolio for the office portion and potentially increase them due to the construction, the nature of just the cost of construction today.
Sumayya Syed: Okay. So, not expecting them to roll down?
Stephanie Leonard: I wouldn’t expect them. No, not for our premium office spaces, I don’t believe so. It’s not what we are seeing in the market right now.
Sumayya Syed: Perfect. And I am not sure if you can share much more on the industrial and non-renewals you saw out west. I am just curious what was the reason or reasons for those tenants not electing to space...
Michel Leonard: Well, one tenant is just a departure and the other two tenants are basically expanding and they have decided to relocate into larger properties.
Stephanie Leonard: And yes, if I could add some color on to that, unfortunately, we weren’t able to accommodate their expansion plan. We have looked at the possibilities, but unfortunately, we weren’t able to accommodate them on our land or any of our other properties for the growth plan.
Sumayya Syed: And your intention is to put up all these assets, market them for sale?
Stephanie Leonard: No, we are not marketing them for sale. We are marketing them for lease. They are currently on the market for lease right now. We return the services of CBRE and Avison Young to market our properties for a lease, not for sale.
Sumayya Syed: Okay. Got it. That’s all I have. Thank you.
Operator: Thank you. Next question will be from Pammi Bir at RBC. Please go ahead.
Pammi Bir: Thanks. Good morning. Just coming back to the office assets that you mentioned that are on the market. Can you – what stage are they at in terms of that process? And any color you can share on the occupancy or maybe the range of values that you could achieve and how that maybe compares to the IFRS values?
Michel Leonard: The largest property that we have on the market is a $25 million property located in a suburb of Montreal. The due diligence is set to be completed in mid-March. And so we don’t know yet if the buyer is going to come through or not on the due diligence. We have a property on the market, which is located in Longay, which is a small property for $3.8 million. And yesterday, we found out that a buyer is not going to move forward with a property that wasn’t on the market, that the buyer was basically interested in buying, and that was $13 million. So, that’s generally the extent of the properties that we have currently on the market. We have also packages, we started to look at a package of three properties that are located again on the South Shore of Montreal, but we haven’t gone to the market yet with these three properties. We are just preparing the different packages, and we haven’t hired yet any broker to represent us or list these properties. And we would expect that the total proceeds of this package would be around north of $80 million.
Pammi Bir: Alright. That’s great color. Just one other one, very small sort of uptick in the credit losses, is there anything to read into that or any other bankruptcies or tenants on the watch list, whether in industrial or retail or anything you can share there?
Michel Leonard: Nothing at this point, Pammi. Nothing to report.
Pammi Bir: Okay. Thanks very much. I will turn it back.
Operator: Thank you. At this time, there are no further questions. Please go ahead, Mr. Leonard.
Michel Leonard: Thank you very much for joining us this morning. I think that the results that we have provided to the market are in line with everybody’s objectives. We are showing, obviously, a strong leasing activity had it not been for the large bankruptcy in the industrial segment, we would have been at an occupancy rate of 95%. We are looking at a very strong lease renewal rate for the year at 8.3%. I think that the properties are showing that – they are basically showing that they are solid. And that they are performing, whether they are in the office, retail, or industrial segment. The bankruptcy, obviously, is unfortunate, but I think that it’s part of owning real estate is that it does happen once in a while and hopefully, not too often. But it is something that we are dealing with, and we believe that we will be successful in securing, I am saying tenants and not a tenant for that property. So, with this, again, thank you very much for joining us and we will see you when we will be reporting on Q1 2025. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we ask that you please disconnect your lines.